Frode Arntsen: Good morning, everyone, and welcome to the presentation of SalMar’s Results for the First Quarter of 2025. My name is Frode Arntsen, and I am the CEO of SalMar. And together with me today, I have our CFO, Ulrik Steinvik. At SalMar, it’s all about producing salmon on the salmon terms. This means that we put the salmons first and that the focus on good biology will always be the way to good financial results. Even though you can get results and events in isolation in some quarters that you would not have wanted. The first quarter of 2025 is a good example of this. Based on a demanding 2024, we prioritized building biomass in the quarter, which also led to harvesting late in the period, which affects price achievement and impacts the figures we will review today. In addition to late harvest, we also experienced a high proportion of downgraded fish and a low average weight in Central Norway, which increased costs and reduced earnings. In addition, a challenging biology makes everyday life more difficult for the sales department, with major changes and challenges when it comes to volume, size and quality. All this combined means that today we deliver a quarter that is far from where we want to be. Even though a huge effort has been put into the entire value chain and especially on those who have the last stage in sales, planning and logistics, it is difficult to navigate in such uncertain terrain and I am simply impressed by the work that is done and the values that are both created and salvaged every day. Thank you very much for your efforts. It is especially good to see the good growth and survival in the sea we have had in the quarter, which means that we now have a record high seasonal number of fish and biomass in the sea at the end of this first quarter. We are experiencing good momentum in the sea also into the second quarter, although the quarter so far has unfortunately been characterized by too much downgraded fish. The review itself today will follow the same order as before. I will take you through some highlights, as well as the segments before CFO, Ulrik will take you through the financial updates. At the end, I would like to focus on the continued strong demand for sustainable proteins such as salmon. In total, we harvested 40,400 tonnes for Norway at a margin of NOK21.5 per kilo. Overall, for the Norwegian operations, we delivered an operational EBIT of NOK852 million. Including Icelandic Salmon and SalMar Ocean, we harvested 42,700 tonnes in the quarter with a total operational EBIT of NOK798 million to a margin of NOK18.7 per kilo. The result from the Farming segments in Norway is characterized by low price achievement. We have focused on building biomass, which led to the majority of the volume being harvested late in the quarter. And during the period, we have had to prioritize harvest of fish due to fish welfare and especially wound problems, which has affected the quality, average weight and price of the fish that was harvested. The biological situation has also created a challenging situation for sales and industry. But our structure has contributed well to handling variations in both volume, size and quality during the period. The price level in the quarter has resulted in a positive contribution from the contracts. Both of SalMar Oceans units started harvesting this quarter. As expected, it was also low volume from Iceland and high costs that pulled down the result. And once again, Scottish sea farms delivers relatively good results. In addition, we have taken steps to strengthen our value chain and structure. SalMar Ocean is now a wholly-owned subsidiary of SalMar. The acquisition of a controlling interest in Knutshaugfisk in Central Norway was completed in the first quarter. And in addition, we announced in April that the Board of Directors of Wilsgård and SalMar have approved the merger plan for Wilsgård AS and SalMar Farming AS. The expected harvest volume for 2025 is unchanged. In short, we are pleased with the development in growth and survival in the sea in the quarter, but financially it is unfortunately weak as a result of late harvesting and the quality of harvested fish in the quarter. To give you a little more detail, I would like to go through the operational review. In Central Norway, we harvested 21,100 tonnes in the quarter with an operational EBIT of NOK268 million, which gives EBIT per kilo of NOK12.7. As mentioned, we choose to build biomass in the quarter, which resulted in low volume in the first quarter, but the result is characterized by weak price achievement. It is the autumn ‘23 generation that we have mainly harvesting during the period and we also continued slaughtering from our 2024 generation. The bulk of this volume was harvested late in the quarter when spot prices were lowest. At the same time, we prioritized throughout the quarter to take out weak fish, especially due to wound problems and let better fish grow in the sea. This affects the average weight of the fish, as well as the quality of the fish we have harvested. When we were on stage in February, we had as expected a higher proportion of downgraded fish as a result of harvest of weak fish early in the period. But we were surprised that the higher share of downgrades increased further in Central Norway when we harvested fish that had performed better. I mentioned last time that we have jellyfish attacks at some locations in Nordmøre (PO6). In addition, we have observed jellyfish in several places along the coast in Central Norway. These attacks did not lead to severe mortality, but they have over time led to larger wounds that take longer time to heal. Therefore, the downgrades have persisted at a high level. It is unvaccinated fish that we have harvested during the period. In retrospect, we should probably have started with a new vaccine somewhat earlier. All fish released from the summer of 2024 have the new winter wound vaccine, which is the generation Autumn 2024. These are fish from which we will start harvest from this coming autumn. Looking ahead, we will end harvesting from Autumn ‘23 and continue with our ‘24 generation in the second quarter. The biological status of the fish in sea is satisfactory in terms of survival and growth, but downgrading of fish is unfortunately still high in the second quarter, which will have a negative impact on price achievement. We therefore expect a similar cost level in the second quarter, compared to the first quarter. And we expect a similar volume in the second quarter compared to the volume we had last year. The guidance for 2025 has been increased to 156,000 tonnes, where volume from SalMar Ocean segment has been included in Central Norway. In the Northern Norway, we harvested 19,300 tonnes in the quarter with an operational EBIT of NOK557 million and EBIT per kilo of NOK28.9. We have had very good biological performance in the sea in the quarter with high growth and increased survival rates, especially if we compare with the same quarter last year, but also measured against previous years. It is mainly the Spring 2023 generation we have harvested in the period, as well as some from Autumn 2023. The cost level of harvested fish is somewhat lower than in the previous quarter, but here too price is characterized by the fact that the majority of the volume was harvested late in the period. We have also downgraded fish in the North, but at a lower level than what we have experienced in Central Norway. Looking ahead, we will continue to harvest from the Autumn ‘23 generation. We will end this generation during the quarter and if you remember back to last autumn, it was many of these fish that were affected by the high level of lice. This means that we only expect a slightly lower cost level in the second quarter, compared to what we had now in the first quarter. We expect the volume to be somewhat higher compared to the second quarter of 2024. The guidance for ‘25 is unchanged at 100,000 tons. Let’s move to SalMar Ocean. As announced in March, we acquired Aker’s stake from the company when it was concluded that it’s more efficient to develop offshore opportunities fully integrated into SalMar than as a separate entity at present. Therefore, we are changing the name of the segment to SalMar Ocean and we still plan to report this as a separate segment going forward. SalMar Ocean has also been incorporated into SalMar ASA, which is associated operational optimization and synergy realizations. The change in ownership does not change our view of offshore aquaculture. The biological achievements we experience when we can produce at optimal locations further out to sea give us continued strong faith in offshore farming in the long-term. As of today, there are regulatory obstacles for us in Norway to build new units and we know that good work is being done to put this in place in Norway. But we are experiencing forward-looking and positive authorities in Scotland and we are continuing to look at expansion internationally. Harvesting from both units started in the first quarter. 1,200 tonnes were harvested with an operational EBITDA of minus NOK3 million and EBITDA per kilo of minus NOK2.9 million. The majority of the volume was also hair harvested late in the quarter and together with a low average weight of fish harvested from Arctic offshore farming. This led to a low price achievement. The remaining volume from both units was harvested this April, where we expect 7,000 tonnes of harvest volume for the whole of 2025. The remaining 2,000 tonnes planned for ‘25 will come from a site in Farming Central Norway segment and we have chosen to move the volume to that segment. We expect to transfer new fish to Ocean Farm 1 now at the end of the second quarter with harvesting in 2026. And for Arctic Offshore Farming, we will, as mentioned earlier, use ‘25 to change nets. Before I move to sales and industry, many have probably noticed that Roger Bekken, the current COO for Biology has chosen to resign from his position. I am therefore pleased that we today can announce that we have appointed Anders Fjellheim as our new COO for Biology. Anders is a person you know well and who has been in the SalMar system as Head of Biology within our offshore operations. He has a strong academic and practical background from across the aquaculture value chain, both in genetics, smolt, coastal farming and offshore farming. We are very pleased to have him in the role of Head of Biology. And together with all the other strong leaders and employees we have in our biology organization, in both the Central Norway and the Northern Norway, we are confident that this is a good choice to further strengthen SalMar as the leading fish farmer. I look forward to working more closely in the future with Anders and our work that continues to make SalMar even better than we were yesterday. The Sales and Industry segment delivers an operational EBIT of NOK91 million. Despite the fact that this is a quarter with low volume and we thus have a lower capacity utilization of our facilities, the flexible setup in sales and industry is once again showing its strength, which means that we can effectively handle variations in both number, size and quality for what biology brings. Since there was late harvest during the period, there were large volumes in the weeks with the lowest price that were handled by our sales department. And together with a large proportion of downgrading, this makes their job sometimes very demanding. Price achievement from spot was thus also somewhat lower than in previous quarters. Contract share of 40% in the quarter gave us a positive contribution. In the second quarter, we expect somewhat higher volumes through our facilities as a result of increased volume from the farming segments. Although the good biology in Norway has meant that volumes to the market have been higher than in previous years and thus pushing prices down and we are experiencing some uncertainty related to tariffs, we still see the demand for our products is very good in all markets. Tariffs are never a good thing, but for now the volume is being absorbed as usual despite the tariff rate for our customers in the US and we see no or very limited effect of the tariff so far. For the second quarter of ‘25, we have a contract share of approximately 30% and for the whole 2025, it is around 25%. Moving into the Westfjords in Iceland, where we still see it somewhat demanding. In Iceland, 1,100 tonnes were harvested in the quarter with an operational EBIT of minus NOK35 million and EBIT per kilo of minus NOK31.3. As expected, a weak result driven by the low harvest volume and continued high cost of the fish we have slaughtered. In addition, the results are affected by event-based mortality at one sea location, which affects the result by minus NOK19 million. Looking ahead, we expect a continued high cost level in the second quarter. We expect the volume to be higher than we had in the same quarter last year and the expected volume for ‘25 is unchanged at 15,000 tonnes. Moving into our joint venture in Scotland, Scottish Sea Farms, which continues the good development. In the quarter, 8,400 tonnes were harvested with an operational EBIT of NOK77 million and EBIT per kilo of NOK9.2. The trend of good results on harvested fish continues in the first quarter, as well. A high harvest volume in the period with a very good average weight of the fish, over five kilo has yielded good results both in terms of cost level and price achievements. The company also reports continued good biological status in the sea, where the next generations of fish to be harvested are doing well in all regions. Volume guidance for ‘25 is unchanged at 32,000 tonnes. With this, I have come to the end of the operational review and I now want to give the floor to Ulrik, who will take you through the financials.
Ulrik Steinvik: Thank you very much, everyone and good morning to all of you. As Frode mentioned earlier today and as said in the last quarterly presentation and in the trading update, SalMar has focused on building biomass during the quarter and harvested fish for welfare reasons. This has impacted the biomass status and key financial figures at the end of the quarter, as well as the financial results for the first quarter of 2025. Concrete, the financial results for the quarter has been affected by low harvest volume, lower average weight, harvesting at the end of the period and a high proportion of downgraded fish, all these factors have had a negative effect on price achievement, resulting in an overall price realization significantly below the reference price for the quarter. Due to the price decline on spot sales during the quarter, the price achievement is also significantly lower than the same quarter last year. However, SalMar’s cost effective setup has, despite the mentioned factors, led to a stable cost released from stock for operations in Norway compared to both the previous quarter and the same quarter last year. I will comment further on this later in the financial update. We are currently experiencing positive development and a record high production at sea with positive trends in all key biological indicators, except for the proportion of downgraded fish, which is currently higher in SalMar than for the industry. As usual, the financial update will focus on changes from the last quarter and toward the end, I will comment on SalMar’s financing and conclude with remarks on the transactions with the owners of Knutshaugfisk and the proposed merger with Wilsgård. And now it’s time to take a closer look at the numbers and I will start by providing some comments related to the profit and loss statement. At the top right, we see that operational EBIT fell by NOK691 million, compared to the fourth quarter from NOK1,489 million to NOK798 million. The reduction is driven by lower volume. Price achievement compared to the previous quarter is only slightly better despite increased spot prices. SalMar has seen a slightly more positive contribution from contracts in relative terms. But compared to spot prices during the period, price achievement was weak due to late harvesting in the period, lower average rate and a significantly higher share of downgraded fish. Costs are, as expected, at the same level, demonstrating that despite the lower average rate and the fish downgrades, we maintained good cost control throughout the value chain. Iceland and Ocean contributed a negative change, totaling NOK58 million, mainly explained by lower harvest volumes. Moving to the profit and loss statement on the right, starting at the bottom of the slide. Harvest volume compared to the previous quarter was reduced by 42% to 42,700 tonnes, and EBIT per kilo was NOK18.7 per kilo. I want to dwell a bit on EBIT per kilo this time and the change from the same quarter last year. EBIT per kilo is down NOK10.1 per kilo, compared to the same quarter last year. Since the contract share and the proportion of downgraded fish are approximately the same as last year, SalMar has been affected by the price decline in the quarter, which for industry on average is down NOK19 per kilo. I would therefore emphasize that for SalMar the total price achievement in the quarter has declined more than the reduction in EBIT per kilo, compared to the same quarter last year. This is due to the fact that we have not in total seen an improvement in the share of downgraded fish during the quarter. And net, the cost per kilo has therefore been reduced. Looking at the top of the profit and loss statement, we see that EBITDA is NOK1,248 million and operational EBIT, as mentioned, is NOK $798 million. Production tax in Norway and resource tax in Iceland amount to NOK 44 million. Non-recurring items reduced the result by NOK32 million in the quarter, mainly due to restructuring of SalMar Ocean. Due to lower spot prices, net fair value adjustments of biomass are negative. The fair value adjustment reduces the result by NOK1,020 million. Results from associated companies were positive at NOK2 million in 2025. Although operating results for Scottish Sea Farms are better, we account for our share after tax and after fair value adjustment of biomass. Fair value adjustment of biomass were also negative for Scottish Sea Farms. Net financial expenses amounted NOK326 million. This results in a profit before tax of minus NOK623 million, ordinary corporate tax, together with recognized resource rent tax, totals minus NOK260 million. Profit after tax is therefore minus NOK363 million and this gives an adjusted earnings per share of NOK2.4 per share for the first quarter of 2025. Moving on to the balance sheet. We see that the total assets increased by NOK306 million from the previous quarter to NOK54.7 billion. The increase is explained by the consolidation of Knutshaugfisk, investments in shielded farming technology and biomass build up. On the other hand, the balance total was reduced due to negative fair value adjustments of biological assets and reduced working capital except for biomass. The transactions with owners of Knutshaugfisk and SalMar Ocean carried out during the period had a positive effect on equity and contributed to an increase in the equity ratio to 38.3%. Net interest-bearing debt, including leasing increased to NOK22 billion. The debt ratio, including leasing, to EBITDA increased to 3.4. Excluding leasing, the debt ratio is 3.2. The underlying driver of the temporary increase in the ratio is a profitable investment in biomass. And based on that, I will this time provide some additional comments and assessments regarding the biomass status at the end of the first quarter. Compared to the same time last year, we have seen a significant increase in both the number of fish and biomass at sea. This increase provides a solid foundation for higher volumes in 2025 and marks the beginning of the realizing of our organic growth potential. Looking at the graphs at the bottom right, we see that the increase in amount of fish in Norway is 3% or 11 million fish. Of this, SalMar accounts for 13.6 million more fish, meaning others have 2.6 million fewer fish in the sea than at the same time last year. Looking at biomass, it has increased by 13%, 33,000 tonnes, which means 26% growth for SalMar, or one-third of the growth in Norway, compared to the same time last year comes from SalMar. This is nearly double the share one would expect for SalMar. This clearly shows that SalMar is the main driver behind the increase in fish in sea in Norway. It also shows that we have a solid foundation to deliver on the 20% growth we have guided for in Norway this year, equivalent to 43,000 tonnes. At the same time, this growth has required short-term investment, which has impacted our debt level. The change in number of fish will, when it materializes, translate into increased harvest volumes and have a positive effect on cost development. I would like to point out that despite the reduced volumes we have experienced over the last year, costs have remained stable. And as an indication of the potential, I can mention that we are harvesting from a site at a cost at a low NOK40 per kilo level for the moment. Looking at the change in the net interest-bearing debt, including leasing, lease liabilities, NIBD during the quarter we see as indicated in the previous quarterly presentation, that increase in the working capital and tax payments are the main explanation for the change in our debt. We started with NIBD, including leasing of NOK18,493 million. The acquisition of Knutshaugfisk increased net interest-bearing debt by NOK212 million, bringing the new starting debt to NOK18,705 million. During the period, we had cash flow from operations with EBITDA of NOK1.2 billion. Tax payments amounted to NOK2.1 billion in the quarter. The change in working capital was NOK1.4 billion, driven by biomass build up and reduced trade payables. Total investments amounted to NOK522 million in the quarter. Of this, investments in fixed assets totaled NOK $484 million, mainly related to sea-based operations and in line with previously communicated priority initiatives. Taking into account amounts spent on interest and instalments, we ended the first quarter of 2025 with NIBD including leasing of NOK 21,976 million. Although the increased debt, this does not affect our assessment of the financial situation. Our strategy is to maintain robust financing at all times and stay ahead of upcoming maturity dates. Furthermore, we strive for flexible frameworks that allow us to carry out investments in the value chain that we deem profitable, as well as to seize opportunities as they arise. In January, SalMar therefore issued new green bonds totaling NOK4.35 billion, splitted into two tranches: a five year bond of NOK3.25 billion and a seven year bond of NOK 1.1 billion. In addition, we extended an existing NOK 1 billion commercial paper in March now maturing in September 2025. This, together with our other facilities, where both the RCF and the term loan have one plus one year extension options and the potential to be increased by NOK 3 billion according, means we now have flexible, unsecured and green financing diversified between bank and bond markets with long maturities and frameworks that ensure sufficient liquidity at all times. This is considered important at all times and especially now in a volatile global environment. In April, Nordic Credit Rating also updated our credit rating, maintaining our investment grade rating at BBB plus At the end of the first quarter 2025, we had NOK8.1 billion in available liquidity in the Group, including credit lines available to our partly owned subsidiaries. As mentioned earlier, in SalMar, we are always seeking growth opportunities, especially in the regions where we already operate. In April, we announced that the Board of Wilsgård and SalMar have approved a merger plan for the companies. Wilsgård has 5,844 tonnes MAB and owns in addition 17.5% of the shares in New Seafield, which has 3,916 tonnes MAB, where SalMar owns the remaining shares in the company. The agreed consideration for the transaction is NOK1.7 billion on a 100% basis. We already own 37.5% of Wilsgård and now consideration will be paid for this portion. Therefore, 20% of the cash portion of the consideration amounts in NOK221 million and 80% share portion corresponds to 1.6 million shares in SalMar. We expect the merger to be completed in this summer, following general meetings in the companies dismayed to formally approve the merger and after obtaining the necessary regulatory approvals. In addition, as previously communicated, we also acquired a controlling ownership stake in Knutshaugfisk during the first quarter. Both of these accretive transactions create opportunities for further profitable growth close to our existing farming areas. This ensures synergies and a continued development of current operations. It lays the foundation for increased operational efficiency, cost reductions and enhanced financial robustness. And with that, I reached the end of the financial update. I will now hand the floor back to Frode.
Frode Arntsen: Thanks for the review, Ulrik. As we well know, the start of 2025 has been characterized by lower spot prices than in previous years. This is mainly driven by good biology in Norway, which means that the volume to the market has increased. At the same time, tariffs to the US have also contributed to increasing global uncertainty. While this can be demanding in the short-term, it also provides opportunities. Most recently in the Barcelona Seafood Show, we were as usually strongly represented and we experienced a very good demand for our products. It is especially nice to see new customers and new markets that want more salmon, which in the long run is very positive as you increase demand. And customers want long-term security for increasing volumes as this is absolutely crucial for them to take their investments for further growth in the market. If you look at the graph on the right side of the screen, you can also see that the price decline makes salmon more attractive in terms of price compared to other proteins. This also strengthens the position of salmon in the market and in competition with our proteins in the retail markets. Over volume and facilities allows us to produce products that the market has a high demand for and the flexibility we have also means that we can adapt the product portfolio of salmon we offer in the market. And thus ensure that we can deliver salmon to a wide range of customers in different customer groups and different markets. This is a clear strategic strength for us. Because the market continues to have a strong and growing demand for sustainable proteins, as you have already read our Annual Report for 2024, where we present in detail how we work with sustainability throughout our value chain and the results we have on various KPIs. I can also mention today that from the first quarter of 2025, we present quarterly developments on some key sustainability KPIs. This report can be found on our website. We have received a number of awards that show how well we perform in sustainability, which is nice for us and make us proud as a company, but also the recognition for salmon itself as a sustainable protein and a meticulous work that goes into every single day out in the operation. But we still see significant potential for improvement, which is reflected in our postulates, everything we do today will be done better than yesterday and sustainability in everything we do. This applies to all parts of our business and to all the large and small tasks we do on an ongoing basis at all time. As I mentioned in the beginning, we have an eternal perspective on what we are doing. We see significant opportunities for improvement, cost reduction and growth in all parts of our business and we are constantly working to get the salmon on the table around the world. Healthy, sustainable protein, production on the salmon terms is something we have in our blood. It’s all about activity along the coast, lights in the houses and food on the table. Salmon has been and will continue to be at the forefront in this area. For us, it is a duty and a responsibility we feel every single day. [Advertisement] Then we move towards the end and round off today’s presentation. I have gone through the guidance going forward and you can see it summarized to the right on this slide. For 2025, we expect global supply growth to decline throughout the year after high year-on-year growth measured against the previous year in the first half of the year. As mentioned, we at SalMar have a record high seasonal number of both fish and biomass in the sea, which gives us a good starting point for the growth we expect from ourselves in 2025. Although global uncertainty and the decline in prices may make some uncertain in the short-term, it gives us opportunities to increase demand for salmon further and together with the downward trend, we see important input factors in cost this gives us a positive view of future developments. And before I round off, several of you have probably also read the Aquaculture White Paper in Norway that came just before Easter. The proposals in the white paper are extensive. They propose major changes to both license, life’s quotas and fees. We at SalMar support the Norwegian Seafood Federation’s assessments, which believe that before the Norwegian Parliament makes any decisions on changes, further studies of alternatives and consequences must be carried out before any decisions are made. Norwegian Aquaculture is a world leader in sustainability and production of animal protein with a low climate footprint and a high resource utilization. In order for Norway to achieve the goal of sustainable growth, all three sustainability dimensions environmental, economic and social must be considered together. We need regulations that promote development, not slow it down. We really hope that our politicians also share this view. We cannot allow the industry to once again be plugged into a long period of significant uncertainty. We need predictability, knowledge and cooperation, not uncertainty. With this, we have come to the end of the presentation. Our next presentation is in August and will be held at Aqua Nor in Trondheim. Before then, I hope everyone has a nice summer holiday.
End of Q&A: